Jose Costa: Good day, everyone, welcome to Prio's Third Quarter Video Conference call. I am Jose Gustavo, IR Manager, and I will be host of this event. [Operator Instructions] The translated presentation is available on our IR website. The comments on the results will be presented by our CEO, Roberto Monteiro; our CFO, Milton; Chairman and COO, Francisco Francilmar. After the presentation, they will be available for the Q&A session. [Operator Instructions] This event is being recorded and will be available on our IR website. This presentation contains information based on future estimates and forecasts based on assumptions adopted by the company, which can change. It should not be considered fact or be used as a basis for financial projections beyond the plans expressed by the company. Now I'll give the floor to Roberto Monteiro, our CEO.
Roberto Monteiro: Good afternoon, everyone. Welcome to Prio's Third Quarter 2025 Earnings Call. Well, I wanted to give you an overview of summary of our third quarter results. I believe we had some good things and some bad things. I'll start with the most difficult, the most challenging point, which was the Peregrino shutdown. That would be the bad thing. We had 2 Peregrino shutdowns during the quarter. One of them was a scheduled shutdown in July. So that was okay. That's -- that was normal operation for the field. But then still in this quarter, we had a second shutdown at Peregrino lasting 63 days. This was due to a regulatory issue and so on and that was a major negative point for us during the quarter. On the other hand, we had a lot of very, very positive points in Q3. This quarter, I think this was the company's best quarter in the other assets. So considering Frade, Albacora and TBMT field. Trading also did very well from a funding perspective, the company also did very well. So we had all of these very positive aspects with one negative point, which was the Peregrino shutdown. I'll go into that later, but -- and obviously, among these positives, we also had Wahoo, which also made great strides. I will address these points one by one. And then I'll pass it on to Francilmar and Milton to go into more detail in their specific areas. So speaking briefly, Peregrino, we already talked about it. We had a 63-day shutdown. We recovered, and we recently resumed production. The field is producing well. It is producing more than 100,000 barrels per day. It is producing around 106,000 barrels daily. So it came back well. It continues to do well. We had already reached that number before the shutdown. So it came back well in line with what we had projected. And then we'll talk a little about the next steps for Peregrino field. Moving on to our operations. The first one I would like to draw your attention to was Wahoo Field. We finally obtained an installation license at Wahoo Field. We have already contracted and pulled in the [indiscernible] of the vessel called amazon or pipeline. Everything is going according to plan, 2 wells have already been drilled. The results are in keeping with what we expected. So everything is going well on the Wahoo work front. Another front that I thought was positive this quarter was Albacora's operating efficiency. We had a record 91% for the quarter. We had a month with 97%, if I'm not mistaken, and another month of 94% within the quarter. So it's very positive. However, in the last month of the quarter, in September, we had one compressor failing, which we already knew with our Leste field at Albacora. Compression is the only system for which we still do not have adequate redundancy. So we had downtime and will recover soon. Unfortunately, these are items that we call long lead time items. Items with long delivery times, which we buy abroad. But anyway, it's addressed. They're going to solve it, we've already bought it, it's going to arrive, we're going to solve it. But I thought was positive is that we had one problem. It was totally focused on one point. So all the work we've done at Albacora over the last 12 months is starting to bear fruit. So that's why Frade was worth bringing this up as a major positive highlight. We performed a workover in TBMT 6, another well that had had problems with the pump. So the Polvo TBMT cluster returned to producing 14,000, 14,500 barrels daily and as it had been producing last year before all the problems we had there with workovers, IBAMA and so on. Moving a little more to the corporate side. We issued -- well, actually, there were 2 issuances. We issued a local debenture but close to this quarter, we issued it in the second quarter. It closed in the third quarter. And we issued $700 million in bonds, which we issued in the third quarter and the money will come in during the fourth quarter, along with the repurchase of a large portion of the bonds that would mature in 2026. So with that, the company improved, became even stronger from the point of view of cash position, long-term capital structure and so on and so forth. As for the company's results, when we look at them, our EBITDA totaled $320 million in the third quarter which was more or less in line with what we generated in the previous quarter. What happened here is that Peregrino -- the shutdown at Peregrino, of course, that obviously hurt us, but as we reduced inventory and sold oil that was in stock, we managed to maintain in Q3, a figure that was more or less similar to the previous quarter at $320 million and we had a net income of $92 million. What did worsen significantly from one quarter to the next, obviously, and moving on to the next slide was the lifting cost. The lifting cost for this quarter was 17%, actually, not 17%, $17.4 per barrel. And it did get worse because we decided to include all costs related to Peregrino as and expensed in this quarter. So we are not going to carry anything forward. The impact of the Peregrino shutdown is here in the third quarter. Actually, not all of it because Peregrino came back on, it was more or less in mid-October. So there will be those 15 days in October that will go into the next quarter, but then it is done. We could have accounted for it differently, but we didn't. We didn't do any of that. Our approach was to report everything as an expense and then our lifting cost in the third quarter rose to $17 per barrel. The fourth quarter will be impacted by those 15 days of October. But after that, we will be 100% clear. Another interesting draft to look at on the slide, Slide #4, is the one on the right which is production. We see that total production for the quarter was 88. However, the company's production, which would be those ores excluding the gray part of the bar, which would be the assets operated by Prio. We see that production posted higher numbers than in the last 3, 4, 5 quarters. So I think that here, we can see our work, the fruit of our labor in terms of our operations. As I said, our cash position is very strong. We closed the quarter with $1.7 billion. And today, our cash position is even higher than that. We have a little over $2 billion in cash. So we are fully prepared now for the closing of Peregrino and for the whole of next year. Milton will talk about this, but we will have almost no maturities next year. Another index that also worsened slightly was our debt largely due to the Peregrino problem. And we managed to sell 8 million barrels or so -- 8 million or so just in line with last quarter. So we could have done better if Peregrino had maintained production. So this is a summary of the quarter. I think we had some very positive development, especially with regard to our operations. But we had this Peregrino issue that ended up tarnishing the quarter. Peregrino has already been resolved. We will talk about it later, and we will address the next steps for Peregrino. The company as a whole, I think, is well prepared for the coming quarters, for the coming years and beyond. I'll stop here and hand over to Francilmar, who will go through the assets one by one. Milton will talk about the financials, and I'll come back to wrap things up. Thank you very much, Francilmar?
Francilmar Fernandes: Hello, everyone. Thank you, Roberto. I will start on Slide 5 with the overall performance of our assets. It was a pretty busy quarter we had here. We had some positives and some negatives. Overall, we ended up producing less. We had a major impact with the shutdown at Peregrino field and Peregrino is currently the company's largest producer. Had significant developments at Albacora and TBMT. And really relatively stable quarter in terms of efficiency at Frade. But overall, we ended up having a strong negative impact on the lifting cost. It was $17. I can't even remember when we last had a number like that. But it was really impacted by the shutdown of Peregrino where we had a slight increase in costs to solve the problems and with no production. So that really had an impact, but it was a one-off. We hope that in the next quarter, we will be able to capture the improvements. We will work hard so that in the coming quarters, we can return to the number that we think is minimally comfortable for us to be at. Moving on to Slide #6. So we'll go over a few more details about Frade Field. This quarter, we had good field efficiency exceeding 97%, which we consider a good number for Frade but production was impacted by the natural decline of the field. We suffered a little bit coming out of that compression problem we had. But it has been fully resolved. We have no problems at the field. Today, we are operating at 100%. We're working very hard to adapt the unit there, making the final adjustments so that we can receive the oil from Wahoo. So few adjustments, commissioning of some materials that were already installed in the past. So nothing too out of the ordinary. Moving on to Slide 7, updating you on Polvo and TBMT. It was a quarter of deliveries of evolution at the field. We completed the workover of those 2 wells that had been idle since last year when we received the approvals. After that, we had the failure of a third well, TBMT 6. And as we had obtained approval for a good number of workovers for many wells, we quickly mobilized the rig. Within the same quarter, we sorted and repaired this well and is producing normally. And as a result, we already have operating efficiency over 90%, in fact, much better than that today and with full production. We're producing a little over 14,000 barrels, and we should still have relatively stable production, but a natural decline of this field. Just much more controlled for the coming quarters. On Slide 8, at Albacora Leste field, it was a quarter of relatively good performance. In fact, the best performance we have ever had at the field. And this is thanks to the repairs we made, all the effort that was made to repair or improve the power generation system and the water injection system. Our weakness remains the compression system. We have already repaired some things, but there were setbacks and others. We're still waiting for the compressor we purchased a brand new one. These are products and equipment with very long lead times. We are also facing a problem with the power system, the transformer which is connected to the compressor, but we are working hard to resolve this in the next quarter. So with that, we're able to deliver this level of efficiency, but still with some fragility in terms of redundancy. By delivering this in the coming quarters, we will be in a more stable state of production and operating efficiency for the field. Moving on to Slide 9. Let's talk a little bit about Peregrino in general. Peregrino had a quarter marked by downtime. By the field that was closed. So we stopped production for 63 days this quarter, which had a profound impact on production. And we made a huge effort to repair to try to have it back on as soon as possible. But there was a lot of physical work there repairing lines, replacing sections, repairing various systems that we had to handle to meet the requirements of the law. That was overcome. We joined forces with the operator, both people who are working on the transition and people who work some of our units that we redirected there and the suppliers as well. So all the focus was on that. That's what are under the bridge, and we overcame this challenge. Now we are working to finalize the transition. We hope to have news very soon. We have a team on board and the team at the office so all the final details are being finalized so that we can move forward and start operating the asset, maintaining efficiency, safety and smooth operations. Moving on to Slide #10. Updates on Wahoo Field. This period also saw significant progress. We received a license to install the subsea system, the connection or, as we call it, the subsea tieback and we mobilized the vessels both the ship for laying the rigid pipeline and the ship for laying the flexible pipelines as well as installation of the subsea equipment that was ready here. We have already begun installing some equipment and both the rigid and flexible pipeline vessels are being released for operation and undergoing loading preparation and the entire mobilization phase that is part of the schedule. The next phase now for the subsea part is to do the installation at the field itself, laying the rigid and flexible pipelines, all the various equipment that we install on the seabed, make the connections to the wells and then schedule commissioning further down the line. So everything is going according to schedule. We have already advised the market, and we will keep you updated on the next development. The next step, in fact, is the first oil. In addition to that, there is something I haven't mentioned in detail, which was the rig. We finished drilling the second well. We are completing the second well and later on, we will drill the third and fourth wells trying to apply the lessons we have already learned from these 2 wells. Overall, in terms of the reservoir between pros and cons, the result is in line with what we were expecting. We need more data. So we will still continue to study and cover the area to check for additional opportunities and have a better understanding of the reservoir. This happens in every well. So these are ongoing issues that will be present as we continue to develop the field. And with that, I turn the floor over to Milton.
Milton Rangel: Thank you. Now on Slide #11, we talk about Prio's financial performance in the quarter. Our total revenue stood at USD 607 million. Brands reference in the quarter was 68.3%, with the equivalent FOB brand for sale at 64.15% and the quantity sold in the quarter was 8.8 million barrels. This helps us understand the total revenue of $607 million with FOB revenue of $566 million. What is important to highlight here for this quarter. Well, as we have already explained, Peregrino suffered a significant impact this quarter. We had 9 days of scheduled downtime in July. And since August 15, until mid-October, we had the intervention or the inspection in Peregrino and the field's production was interrupted. We had a shutdown. Therefore, the 15 days in August plus the entire month of September, in addition to the 9 days in July, brought an important impact to our financial statements. For the purposes of COGS, we recognize the COGS of the Peregrino or COGS for Peregrino for July and August and the cost for September, which would be the OpEx for September of around $20 million is included in the line of other operating expenses. This is purely accounting since we did not have associated production and revenue. Therefore, we do not recognize COGS. So this is recorded as a loss in these other operating expenses. When we show the lifting cost of $17.4, this already includes both with which is the COGS of the field reflecting this loss, just to give a complete view of the company's lifting cost performance which driven by lease losses or this lack of production coming from Peregrino for the consolidated numbers to $17.4. With that, our EBITDA was around USD 309 million with a margin of 55% adjusted EBITDA, excluding these nonrecurring items of [ $320 million ] with a margin of 57%. We also recorded an increase in financial results, which I think is worth going over quickly. We recognized USD 14.5 million in the quarter related to hedge transactions that were carried out mostly in June, July and August. Basically, the premium paid as the oil remained high, these options were not exercised. So it is the value of the premium of these options. And also, we had an impact of around USD 23.5 million related to the marking of unsettled hedges. And these are positions from September, October and November, which due to the fluctuation in the value of these hedges, we posted as a negative this quarter, although this has not been something cash or something fully realized. In addition, the company experienced an increase in gross debt which amounted to approximately USD 4.6 billion, leading to a slightly higher financial expense, something around $68 million in the quarter, which helps to explain much of this increase in financial expenses. Now moving on to the next slide, #12, we talk about funding. I'm already looking at the central charge on the amortization schedule. What is important for us to note here. Well, we have a large amount in 2026 of USD 600 million referring to our bond maturing in the middle of next year -- in the midst of 2026. Therefore, it's important to highlight that in October, we issued a new bond. We made a tender offer on top of the existing bonds, which had an acceptance rate of around 70%, meaning that we bought back this amount of $430 million, $431 million, leaving around USD 170 million still on our balance sheet for this original bond, which will mature in June. And with that, we issued USD 700 million in a new transaction this time, senior unsecured. While the previous bond was senior secured, and now we are migrating to the senior unsecured modality with a 5-year term, a rate of [ 6.75% ] I mean $1.65 per year. And that being in the next quarter is a subsequent event because it occurred in October. But we will already see a change in this amortization profile in the next presentations. Moreover, we also issued USD 539 million in debentures swapped for BRL. There is total exposure of this amount to dollar over the term of the 2 series of the debentures. And we had already done a lot of work to bring the maturities of working capital lines to the years of 2027 and '28 as we can see. Therefore, with this bond issue, our 2026 has virtually no debt. The value is very small. And we have a lot of peace of mind at a very important moment of capital allocation. When we have Peregrino coming along, the closing of 40% followed by the other 20%, we also have the under Wahoo's CapEx. Before, this is a moment of tranquility for the year of 2026 in terms of maturity. Well, duration of [ 2.78 ] in the third quarter and an average cost of debt of [ 6.35 ]. With the bond, we will be able to increase this duration a little bit more, considering this 5-year term with a duration of around 4.4 or 4.5 years. Moving on to the next slide here on net debt variation or proxy for our cash generation. We are coming out of net debt in the second quarter of USD 2.77 billion, our adjusted EBITDA ex IFRS of USD 320 million. As we said earlier, working capital expenses of $75 million, largely explained by payments to suppliers and also because we made several sales but have not yet received the cash, therefore, you still have a large amount of receivables coming along. CapEx largely relates to development of Wahoo, which is now in full swing. Well, we had the workover in TBMT, integrity expenses in Albacora Leste, and there were also issues related to the Peregrino shutdown. USD 20 million of this OpEx from Peregrino that is outside this adjusted EBITDA. So to make up the cash, it enters here in a separate column. Share buyback of USD 7 million and financial result of $80 million, largely here by $14 million of the premium paid in hedge with approximately $66 million approximately in interest or financial expenses from our debt portfolio. And with that, we arrived at a net debt of USD 2.8 billion at the end of the third quarter. We're now Slide #14 is on leverage. We basically measure here the net debt indicator to the company's adjusted EBITDA. In the third quarter, we reached 2x, which was slightly higher than the second quarter of '25, which was 1.8. Well, this slight increase I would say that is largely associated with the Peregrino shutdown generating less EBITDA, less cash generation. So it pulls this indicator up a bit. But still well below the 2.5x limit we have in our covenants. It's important to mention that we have an important event related to the closing of Peregrino that should take place probably in February or maybe even sooner, and we are in a very comfortable cash position, which currently is about USD 2 billion and with the Peregrino closing, bringing in an additional 40% of Peregrino's position. With Wahoo coming in over the next year, we expect strong cash generation and considerable financial robustness for the company in the coming quarters. With that, I'll hand over to Roberto to talk about ESG and the next steps. Thank you.
Roberto Monteiro: Thank you, Milton. Well, I'm going to talk a little bit about environment and society, and then we will talk about the company's next steps. We continue to work on the sustainability front through the -- through our Prio Institute, working on programs such as the open sea initiative, which connects local fishermen to the oil and gas sector and so on. On the safety side, we conducted an emergency drill with the Navy, IBAMA and Albacora last year, which went very well. We held a second meeting on safety knowledge bills and also trained competent personnel who work at heights. We conducted SGSO, SGIP and SGSS audits. So safety is always a nonnegotiable thing for us and very important item in our culture. Within the health and well-being pillars, we achieved through our traditional programs some important things. We promoted a race, we had our first Prio owned race, which took place at a Jockey Club. It was super interesting cardiological and preventive evaluations, yoga and so on. In the third quarter, I mean, we had sponsorship events in the third quarter like racing and other events. And we also sponsored other events like Prima Facie and Rio Gastronomia. Well, now moving on to the next steps, Slide 16. Here, we have almost the same steps as shown in the last quarter. The focus on safety and health will always be present as will M&A opportunities. And in the middle, that is important within Albacora Leste's operating efficiency, we have promised in advance in this operating efficiency. I think it has happened. Today, we have a very specific issue related to gas compression. But the Albacora Leste field has been operating in a very stable, very safe, very consistent manner. So I think this is already a gain. We still have to resolve the gas compression issue. But I think we already reached a new level at Albacora Leste. At Wahoo, we have made very good progress in the 2 wells we have already drilled. The results were very much in line with what we expected. As for the pipeline, the boat is already in Brazil, and it will now undergo inspection by IBAMA, so it can go to the field to start the pipe laying. It will load the pipes up to launch line. So everything is on track and moving forward so that the first oil is expected to come in between March and April as we promised in the material fact. Costs are also very much aligned with no major setbacks. And the last point here that was pending is the closing of Peregrino. This closing of Peregrino is contractually scheduled for February of next year. However, now after this introduction and the return into -- the return back into operation, we have worked together with Equinor and ANP right after we resumed production, authorized the closing, meaning that today, there are no impediments from their regulators or any competent agency. And so today, we are ready for the closing as ANP has already approved it. And then there is a transfer of [ Elo ], but this will happen right afterwards with IBAMA. Therefore, today, we are ready for the closing of Peregrino, which is supposed to happen in February of next year. Today, we are working with Equinor to check the possibility of anticipating the closing. Nothing is settled yet but we are prepared since it makes a lot of sense to us. I mean, taking charge of the operation and start working to capture synergies in the field. In the coming months, our focus will be very operational as you can tell. Of course, M&As are always important, but it will take a back seat during the next few months. And as I said, our focus remains on the operational issues. And very soon, we will go from 115,000 barrels a day to slightly over 150,000 barrels a day with the enter of Peregrino and later with Wahoo, we will reach 190,000 barrels a day. And then with the remaining 20% from Peregrino, we will surpass 200,000 barrels a day. Therefore, the next 6 to 8 months will be crucial for us to reach these 200,000 barrels a day with great focus on the operational side. Now I'll stop here by thanking our employees and society and shareholders are always with us. And now, I will open the floor for questions. Thank you.
Operator: Hello, everyone. Welcome to the Q&A session of our earnings conference call. So we are opening the floor for questions. First question from Gabriel Barra with Citi.
Gabriel Coelho Barra: We'll try to focus on one question, but kind of a long one regarding the company's capital structure. I think that this was mentioned that the company's cash position, as the closing of Peregrino to happen in the short term. And in treasury, you have a high percentage of the company in the buyback that you've done recently. So the first point I would like to understand is why not cancel the shares now? Just trying to get a sense of why not canceling the shares and get to the 10%, given that you're very close to the number. Anything related to the closing because it seems to me that the cash position of the company is very comfortable. So I would like to understand the company's strategy regarding that. The second point, and perhaps it's a philosophical discussion we've had with the company for quite a while now. The company is also a very strong company in M&A deals, creating a lot of value to the shareholders, given a very successful execution of capital allocation. But when we look at the company today, as Roberto has just said, we are getting close to 200,000 barrels daily and with a very strong cash generation starting next year. And with our CapEx plan that accommodates the operating cash generation. So how should we think about dividend payout and share buyback looking forward, Roberto? Because I think that the company has slightly more leveraged now. But looking at cash generation, it seems that you are kind of comfortable as of 2026? So if you could speak about shares in treasury, how we should think about that and how we should think about dividends looking forward. These are the main 2 points of my question.
Roberto Monteiro: Thank you, Gabriel. One way I'd like to look at the company is through the forecast for the next 12 to 18 months, at least the end of next year. And the forecast of cash generation and consequently, our cash position until the end of next year. So even with oil slightly stressed at $60 per barrel. Some people say it can go temporarily to $50. But just to do an exercise, considering $60 per barrel, we consider that our minimum cash for the company if we don't do anything and I mean, if we don't have any M&A deal or any other investments other than what is already in the radar investments in Wahoo, Peregrino, Albacora, Frade, everything is in the plan. So we would have a cash position, a minimum cash position which is always greater than $900 million. So clearly, we have a stronger cash position for us to think about the next 12 months. So there are 2 things that we can do. One of 2 things. We can have M&A deals, like I said, I don't think that this is going to be our focus in the coming months or quarters. This is not something we are working actively on. And we can reinvest in our own company because today, we find much superior returns to returns we've had in the past in M&A deals by buying back the shares of the company. So this issuance was very important to us because we kind of equalized all maturities. Now we have a very comfortable cash position for the next 12, 18 months. And looking forward, our cash position is very comfortable. And a lot of leeway there. And with that, as soon as we start seeing this leverage curve declining. I wouldn't like to go back to buying back the shares when the curve is upward and we don't know where it is going to stabilize. But the moment it stabilizes and the moment we understand that it's starting to drop and we'll look at that on a monthly basis, then I think it is the right moment for the company to go back to the market and start the buyback. And if we do repurchase the shares, we have to cancel them. So canceling the shares to me, is kind of a secondary move. The decision is whether the company should go back to share buyback. It should happen eventually. But due to financial discipline, it is important for us to expect that move when we see the leverage starting to invert the leverage curve.